Operator: Good morning. Welcome to PowerFleet’s Fourth Quarter and Full Year 2019 Conference Call. Joining us for today’s presentation is the company’s CEO, Chris Wolfe and CFO, Ned Mavrommatis. Following their remarks, we will open up the call for questions. Before we begin the call, I would like to provide PowerFleet’s Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet’s future financial performance. All statements other than present in historical facts, which include any statements regarding the company’s plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company’s expectations regarding opportunities for growth, demand for the company’s product offering, and other industrial trends are considered forward-looking statements. Such statements include, but are not limited to, the company’s financial expectations for 2019 and beyond. All such forward-looking statements imply the presence of risks, uncertainties, and contingencies, many of which are beyond the company’s control. The company’s actual results, performance or achievements may differ materially from those projected or assumed in any forward-looking statements. Factors that could cause actual results to differ materially could include, amongst others, SEC filings, overall economic and business conditions, demand for the company’s products and services, competitive factors, emergence of new technologies and the company’s cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the Investor Relations section of the company’s website at www.powerfleet.com. Now, I would like to turn the call over to PowerFleet’s CEO, Mr. Chris Wolfe. Sir, please proceed.
Chris Wolfe: Thank you, Josh. Good morning. And thank you for joining us today. The fourth quarter marked the strong finish to a transformational year for PowerFleet in which we close the acquisition of Pointer, achieved several milestones on our integration plan, secured multiple new customer wins across our verticals and geographies, and generated robust organic revenue growth, which was up 17% for the quarter on a year-over-year pro forma basis to $35.1 million. On top of this, we also ended the year with more than 550,000 mobile subscription units. As these results demonstrate, we are beginning to recognize the material benefits, as well as the operational efficiencies and the deal flow of being a large organization. As we reflect on 2019, particularly since we acquired Pointer, we're extremely pleased with the progress we've achieved so far. And while there is still more work to be done, we're really encouraged by the efforts and the commitment by everyone involved in this pivotal transition. PowerFleet is now a cohesive team aligned around one shared vision, creating a world class financially successful global IoT software and solutions provider. Before I turn the call over to Ned to discuss the financial results, I'd like to touch on some of the current macro concerns, specifically with the coronavirus. Obviously, there's a lot of valid concerns around the coronavirus and the various implications in the global economy. I'll first address the potential impacts to PowerFleet's supply chain and then address the possible impacts and effects on the overall economy, specifically the logistics segment, which appears to be at higher risk due to global interdependence. First, as it relates to PowerFleet, we source very few parts from China directly. We have also already transitioned some ancillary parts such as cables to the U.S. On top of this, we currently have enough inventory for a few quarters and expect very little or no impact at all to customer deliveries. Regarding the overall economy and potential impact to the global logistics, it is important to bear in mind that the news we're hearing and reading about daily through the mainstream media outlets is predominantly focused on how the virus will impact consumer demand round travel, iPhones, and other consumer electronics, as well as business travel. Keep in mind that PowerFleet is a B2B provider of mobility platform to the market segments we serve. In the economic downturns over the last 30 years, specifically 1991 to 2008, the transportation and logistics markets use these cycles to invest in technologies, which enabled them to exit the downturn with much more efficient and capable organizations. So, using metrics such as the number of global shipments or the number of trucks sold does not accurately reflect PowerFleet’s business as it is easier to implement new technologies when our customers businesses are running more slowly. On top of this, with the Federal Reserve cutting interest rates by 50 basis points last week, it makes it even more likely for our customers to invest in technologies like ours at a lower cost of capital. What we are more concerned about currently is the health and safety of not only our workforce, but also those communities is already impacted. We are taking the necessary precautions and following CDC recommendations. That being said, a pandemic is not your typical economic downturn, but we are staying vigilant on any possible impact to our business and our industry. I'll now turn the call over to Ned to walk us through the financial details for the fourth quarter in 2019. Ned?
Ned Mavrommatis: Thank you, Chris. Good morning everyone. Our financial results for the fourth quarter of 2019 include consolidated results for both I.D. Systems and Pointer Telocation, which we acquired on October 3rd, 2019. Keep in mind that the comparable year ago period only includes standalone financial results from I.D. Systems. Now, with that qualification, let's look at the numbers. Revenue for the fourth quarter of 2019 increased to a record $35.1 million from $11.5 million in the same year ago period. As Chris mentioned, on a pro forma basis, revenue for the quarter increased 17% compared to the prior year fourth quarter. Services revenue was $18.7 million or 53% of total revenue compared to $4.3 million or 38% of total revenue in the same year ago period. Product revenue, which drives future service revenue, was $16.5 million or 47% of total revenue compared to $7.2 million or 62% of total revenue in Q4 of last year. Gross profit increased to $16.6 million or 47% of total revenue from $6.1 million or 53% of total revenue in Q4 of last year. We expect gross profit margin to increase in 2020, as during the fourth quarter, we have not seen the full benefit of being vertically integrated as the majority of the product we shipped in the fourth quarter was already in our inventory. Now, turning our expenses for the fourth quarter of 2019, total operating expenses were $19.9 million compared to $8.9 million in Q4 of last year. Looking at the various components of operating expenses, selling, general, and administrative expenses were $12.7 million compared to $6.2 million in Q4 of last year. Research and development expenses were $3 million compared to $1.9 million in Q4 of last year. During this quarter, there were a lot of one-time items due to the acquisition and significant amortization due to the intangibles associated with the acquisition. Depreciation and amortization expenses were $2 million compared to $387,000 in the same year ago period. Severance expenses related to the Pointer acquisition were $1.7 million, compared to no severance expenses in the same year ago period. And finally, acquisition-related expenses were $462,000 compared to $428,000 in Q4 last year. Turning to our profitability measures, GAAP net loss for the fourth quarter of 2019 totaled $5.2 million or $0.18 per basic and diluted share. This compares to a GAAP net loss of almost $2.8 million or $0.16 per basic and diluted share in Q4 of last year. Adjusted EBITDA, a non-GAAP metric, which we define as earnings before interest, taxes, depreciation amortization, stock-based compensation and all the one-time items for the fourth quarter of 2019, totaled $2.1 million or $0.06 per diluted share. This compares to an adjusted EBITDA loss of $595,000 or $0.03 per basic and diluted share in Q4 last year. December 31 2019, we had $29.7 million common shares outstanding, the $50 million convertible preferred equity converts at $7.31, which equates to 6.8 million shares. Therefore, as converted, there is 36.5 million shares outstanding. Our balance sheet also remains strong and liquid. At year-end, we had $16.4 million in cash and cash equivalents and working capital position of $29.3 million. This concludes my prepared remarks, Chris?
Chris Wolfe: Thanks for the financial overview Ned. Before providing a sales and operational update, let me say that we are well on our way to becoming a fully integrated organization. I'm incredibly proud of our combined teams pulling together to achieve solid year-over-year growth during a time, in which our team could have easily been distracted by the integration. During the fourth quarter, we saw a healthy mix of new sales activity and customer expansions across both our business and geographic regions. From a direct sales standpoint, our team signed several notable deals in Q4, including Michelin North America and ABB in Mississippi, a leader in digital transformation, as well as Caterpillar in East Peoria. We also secured major or new wins with our leading transportation company's All Truck and Tropical Shipping, which we did press releases on. All Truck selected us to upgrade its entire fleet of more than 1,500 trailers from existing 3D devices to our 5G compatible LTE LV-100 devices. Tropical Shipping selected PowerFleet to equip its entire U.S. chassis fleet with more than 2,000 5G compatible LTE LV-300 next generation asset visibility systems on existing and new chassis builds. In addition to All Truck and Tropical, we also had several of the top 100 U.S. logistics fleet expand their take up of our LV series platforms. This includes hub group and the drive band division, selecting our LV 300 and apply taking our LV 500 and Cerva upgraded it’s 3G units to our LV 100 platform. We have similar success in expanding our dealer channel with significant wins including Daimler truck manufacturing plants, and Owens Corning plant as well as the General Mills plant. On top of this our partnership with Jungheinrich, the third largest forklift manufacturing globally, continues to build momentum as we're seeing increased volume of orders secured in Europe. Our continued success with Avis budget group has spurred active discussions with other major rental fleet operators about potential deployments of our technology and we expect to be in field trials with these operators shortly. Additionally, we are currently bringing Pointer's fleet management products to the U.S. This was one of the investments that Ned mentioned, to pursue the massive class one through class five vehicle market. We expect to see traction here starting in Q3. From an international perspective, our presence and footprint continue to expand. During Q4, Pointer was selected as a major provider for Israel's alternative project recently renamed Iran-Iraq to potentially install mobility systems on up to four million cars to reduce traffic congestion. The initial assessment project of 3,000 cars is currently underway with the Ministry of Transport and it's already being expanded to 10,000 cars. Mobileye, a subsidiary of Intel selected Pointer to work on reporting of traffic light status to help us mobilize autonomous vehicle initiative. The project will be deployed to hundreds of traffic lights with a potential of Mobileye taking this globally. Another win was with MDA, an ambulance company who selected Pointer to supply monitoring to thousands of real-time monitor defibrillators, and it was outfitted our mobility solutions on their entire fleet of ambulance and medical motorcycle fleet for optimal response to any incident. Clearly, we are very pleased with our Division Head, Ilan Goldstein and his team's success with the new sales and product initiatives underway in Israel that had global applicability. That covers the major sales update for the quarter. I'd like to shift gears on and talk about our integration of Pointer, which is proceeding very rapidly. As I mentioned in my opening remarks, we've already received several milestones or achieved several milestones in the first six months, since we closed the acquisition. This includes consolidating our strategic and tactical plans as well as our product roadmaps. On top of this, the alignment of our sales and go-to-market teams is already yielding early success to those being engagement with Avis in Mexico. And also a major industrial truck opportunity in Mexico as well. We already eliminated duplicated corporate reporting costs, and identified more than $3 million in supply chain savings that will be cut in over the next several quarters. We also expect to realize another $2 million to $3 million in cost savings in 2021 related to the platform consolidations we currently have underway. Again, we invest in those platform consolidations this year to obtain those savings in 2021. To be sure, we will be balancing investing our continued growth initiatives while we realize these savings. From a personal standpoint, we've integrated the respective IT systems and Pointer teams and are now collaborating as one cohesive unit. In fact, PowerFleet's leadership team today is one of the strongest, if not the strongest team I've personally worked with in my entire career. Wrapping up together, PowerFleet is a much stronger business today with greater scale and resources and industry leading end-to-end IoT platform, significant large scale opportunities and robust annual growth rates in our targeted markets. These advantageous dynamics give us confidence and ability to realize our financial outlook for the first years as a combined business. This includes generating more than $150 million in total revenue, of which over 55% is derived from high margin subscription and services revenue. We believe our adjusted EBITDA will also expand in 2020 as we implement our -- identified cost savings and hit our sales targets assuming the coronavirus is brought under control in the next one or two quarters. We're also on pace to meet or exceed our target of having more than 600,000 mobile subscriber units on our platform by the end of 2020. Longer term, our vision of creating PowerFleet as a global IoT software solutions provider is quickly progressing, which we believe will generate significant shareholder value through global operational and financial scale, sustainable profitability and cash flow generation. And with that, we're ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] Our first question comes from Mike Walkley with Canaccord Genuity. You may proceed with your question.
Mike Walkley: Great. Thanks for taking my question and congratulations on the acquisition and the consolidation today. Ned, may be a question for you on a product gross margin, you sound like you guys still have some inventory levels to work through. Can you just please help us think about gross margins for products going forward and where they could trend to once you get to realize some of those synergies?
Ned Mavrommatis: Sure. Mike, if you look at the quarter, our product gross margins were approximately 30%. During the fourth quarter, most of the product that we shipped was already in our inventory. Beginning in the first quarter, we are going to start to see some of the benefits of being vertically integrated. So we expect product gross margins throughout the year to get closer to 35%, we start to see those benefits.
Mike Walkley: Great. Thanks. And just a question for Chris, lots of new products appealing to customers and some nice wins in the in the quarter, can you just update us on feedback from clients on your combined portfolio? And I know you've talked about in these times of downturns, customers are investing for the future. Can you maybe just give any color on sales pipeline as you see anything pushed out recently?
Chris Wolfe: I'm not saying -- first of all, we're not seeing deals get pushed out today. But that being said, as you know, the longer this drags on you could possibly see that. But the feedback we get from customers is, these capital investments, they have to make anyway and if you think about the 3G to 5G conversion, which is looming, as you say, 18 to 24 months here, now it's obviously what -- that was three months ago. So the customers like Tropical, the customers like Ultra, the other ones that we're in conversations with today, know they have to move. So we're not really seeing the current slowdown or anybody pushing out orders, just because of the pandemic. As a matter of fact, I mean, on the industrial truck side, it's kind of interesting, it's -- you think it's a very good barometer of industrial production, industrial trucks that is actually going on plan or above right now, so, again, we're not seeing it, but I'm not saying it might not hit us like in Q2 if this continues as it is. But, again, our pipeline right now is probably the strongest I've ever seen it. But, again, we just have to get the deals closed, like typical.
Mike Walkley: Understood. Last question for me, I'll pass it on. Just an update on Jungheinrich. You said in the script that things are going well, can you maybe give us an update where they are to their initial 2,000 units and how you see that opportunity progressing over time?
Chris Wolfe: Yes. Actually, it's going ahead of plan. I mean they're uptaking units ahead of their committed 2,000 units per year. That's what they're contractually committed to. That being said is we are doing some work also with the Jungheinrich affiliates here in the States, which is brand new. So they're kind of bringing us into some opportunities on that side. It's a little too early to go into the details there. But, again, that actually could -- to me, actually that is even almost a bigger opportunity, because it can bring us into some accounts that we're currently not in today.
Mike Walkley: Great. Thanks for taking my questions.
Chris Wolfe: Okay. Thanks, Mike.
Operator: Thank you. Our next question comes from Jaeson Schmidt with Lake Street. You may proceed with your question.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Just curious, the kind of one-year 2020 target you laid out for the combined company, if you still feel confident in being able to achieve those?
Chris Wolfe: Yes. As we mentioned in the script, but I can also let Ned chime in, this is Chris, I just -- again, I think, on the revenue side, it's definitely achievable. Again, with the coronavirus, if it lasts in the Q3 or Q4 then we may see some effects there. But I don't see it today. And again, as I mentioned, I think our pipeline is, both here in the States, as well as internationally, is fairly strong. Then on the profitability side, we do see us getting to a run rate of 15%, which is what we've been stating. Right now, we're investing in two things, actually three things that we think is really going to propel us in 2021. One of that is platform consolidation. I think anytime you do an acquisition, if you don't do the blocking and tackling and the hard work of assimilating the businesses, but also the platforms. We've identified approximately $2 million with a savings just from platform consolidation. We're also doing some product development work for a customer that has the potential of 16,000 units. So we -- again, it's a total deal value of about $20 million. So, again, we're investing in that, because if that deal comes to fruition it's a $20 million opportunity. So, again, and then on the IT side, there's some consolidation work going on there. But all those can yield 2021 benefits, but we have, like the supply chain benefits will be cut in this year. And, obviously, it depends on us hitting our sales numbers to -- but again, I think, right now, it's probably the strongest pipeline I've seen in a while, but we just need to make sure, we deliver on the sales.
Jaeson Schmidt: Okay. And then just following up on your comments on in-field trials with others in the rental car market, how should we think about the potential timeline to revenue. And even the potential size compared to someone like Avis?
Chris Wolfe: I would say the potential size is larger. I can't go into too many more details on that. I can also say that it's going to be a -- the field trial is actually already committed to; we basically have to deliver units. It's almost like what we do with Avis in Mexico, which was actually a great success. So, by the way, Avis Mexico has not deployed our products. That's a licensee. But if you look at this other opportunity, they're going to trial our product, then we'll go down and show them, they also do a lot of fleet management work, which actually is very complimentary to what we're bringing to the states from the Pointer side. So, again, I think, we have two opportunities with this major account, one is on the rental side, which is large, I mean, phenomenally large, and then on the fleet side, they do a lot of work with commercial fleets. So it could be a double win for us if we're successful there. But they'll start those field trials literally in the next couple of weeks.
Jaeson Schmidt: Okay. Thanks a lot guys.
Chris Wolfe: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Josh Nichols with B. Riley. You may proceed with your question.
Josh Nichols: Yes, thanks for taking my question. Just to clarify, could you talk a little bit more about where you are with Avis deployment? Is that fully done or is there some additional units there shipping in 1Q stuff?
Chris Wolfe: Yes, we're shipping in Q1 as we speak. So, more or less, they've taken the preponderance of the units last year, and then this is basically the tail of the units. We expect to ship all of them, if not all of them by the end of Q1, the remainder.
Ned Mavrommatis: Yes, Josh. As of the year end, we shipped 57,000 out of this 75,000 and the remaining will be -- we're about to be shipped in Q1 and very little in Q2.
Josh Nichols: Then just to clarify like, any readout for additional large fleet contracts you will get with Avis or this new rental company that is outside of guidance be upside? Thank you.
Chris Wolfe: Yes, yes. By the way, the two what I call business development initiatives, bringing the class one to five in the United States, which again that could help us with this other large opportunity. That's not in the $150 million. That's all upside. If we sign another large rental company, that's also upside for us.
Josh Nichols: And then, could you talk a little bit, I know the move to 5G right or 4G LTE has been a potential tailwind for the company, but about the company's prospects for securing one of these larger like six figure type unit deals with one of these larger fleets this year?
Ned Mavrommatis: I think right now with the field trials that we have underway, we have opportunity. I can't go into the details, but there's a couple that are quite significant. One prospect is, basically because of acquisition, they just went over about 120,000 units, and they're already a customer. So they had 10,000 of our units and now they have 120,000. So, again we still have to earn that business and win it, but they know our product, they use it every day. So again, I think they're very happy customer with us. And so we hope to expand into that space with them. And then we have some other field trials ones a 39,000 unit potential. So again, those would probably -- that one would probably be later in the year but it's like hub group which is on the drive hand side, they just continue to take units and ultimately they're going to have to replace old units and the same with NFI. Right now, they're just doing a trailer replacements, but ultimately they have to replace the old 3G units. So again, I think you're going to start seeing that uptick as the clock winds down to the 3G sunset. 
Josh Nichols: Okay. Thanks. So I will hop back in the queue.
Operator: Thank you. Our next question comes from Gary Prestopino with Barrington. You may proceed with your question.
Gary Prestopino: Hi. Good morning. When you're talking about these field trials with the large rental car agency, how long does it -- does the field trial go and have you signed a contract or is the contract pending on how the field trials turn out?
Chris Wolfe: That -- it's always going to depend on the -- how the field trials turn out. So right now we're basically in the, you know, they're kicking the tires. So, they basically put our units on. I did the direct quote from them was; hey, if it does what you say, it's going to do you know, we're going to bring you down here and you can -- we'll have some more in depth conversations. So the -- all the major rental companies are familiar with telemetry and then machine to machine. If our product -- if our product, our product does do what it does, is it -- is a three minute install. You know, no one else can do that. So again, I think they like what they see. They just have to get it running on a few cars.  Because again it's the make models and years that are important. And by the way, we always have to certify on a given make, model and year. So working with these larger rental companies, you have to know what their fleet mix is and then they have to tell you what car make, models and years they want you to run on. So once you've done that, you also have to integrate into their platform. Now the good thing is, we already have an API suite, right? So it's, we already know how to do it. It's just, it's going to be a couple of weeks of integration work and then you'll watching that data flow into their systems. 
Gary Prestopino: So it is, if everything goes as planned, is it possible that you would have some kind of signed contract this year?
Chris Wolfe: That's definitely possible. Yes.
Gary Prestopino: Okay. All right, thanks. A couple of other questions here and it looks like when you -- if you back out acquisition related fees, it looks like your operating expenses are running at about 50% sales and order is that a level that we should expect about 2020 as well or will that eventually step down as you integrate the acquisition? 
Ned Mavrommatis: Yes. Hey Gary, this is Ned. The numbers should stay flat for the next quarter and then slightly starts going down as we integrate. And as Chris mentioned, we are going to see a big reduction in 2021 because disinvestments that we're making this year related platform consolidation and the other things, Chris spoke about, not only do they improve the product, but they also lead to a significant cost savings.
Gary Prestopino: Okay. And then, in terms of the gross margin on the services, it looks like the first quarter for the combined company was about 62%. Is that a good level? I mean, is there any leverage there in terms of getting that margin up or is that just what that margin is going to be?
Ned Mavrommatis: The margin is going to be at that level for the next couple of quarters. The leverage comes as the service revenue number grows because you're just adding additional numbers to the -- to the platform without a additional increase in expense. So as the service revenue number grows, we should see the improvement in the gross margin and services as well.
Gary Prestopino: Okay. And then just lastly, just so, I get this, right. Chris, you said that you feel pretty good about hitting the 50% adjusted EBITDA margin on the 150 this year?
Chris Wolfe: I would say on a run rate basis, I mean I would say, our Q1 and Q2 is -- if you think about it in Q4 even, we had some duplicative costs that have come out, right? So, yes, you didn't see it in Q4 and then the same with Q1 as we consolidate the groups. It was like, yes, I can go into specific headcounts and processes and costs. But the bottom line is some of those are dropping out in Q1 as well, right? So it's like -- we're probably going to see it improve throughout the year. And hopefully, I didn't know, hopefully but in Q3 we look to get to like a run rate of that. So I think we're pretty pleased with where we're at and we don't want to curtail our investment to bring the -- like the Class 1 to 5 opportunity that's in the United States or the platform consolidation. We've had a lot of serious conversations internally about, we could push that off. But I think everyone here knows what happens when you do that, it's probably the best to invest today. Because I know other companies have not done that and they pay the price in the long-term. But right now -- but by the way that's ahead of schedule you know our consolidation work.
Gary Prestopino: Okay. So the old range of adjusted EBITDA that you guys said you would possibly do is 15% to 20%. It's going to be stepped down from there just because of some of these investments in the platform consolidation at least for 2020?
Chris Wolfe: Yes. I'd say for the beginning of 2020. Yes, again, I would say that by the end of it, we're going to be hitting our stride at that level. So I would just say, these first two quarters as we -- again because of this duplicative cost as we pull costs out of the organization and do these investments. So it's more like a beginning of the year type of event.
Gary Prestopino: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Glenn Mattson with Ladenburg Thalmann. You may proceed with your question.
Glenn Mattson: Hi, good morning, guys. Thanks for taking the question. Most of my questions have already been answered. But I just have one more about the macro situation the -- as far as, I know that the travel ban in Europe is less than 12 hours old. But as far as -- how you see logistically that working? Do you have people in the right place? Can you service customers now that -- you are a bit more global company now and specifically about the Jungheinrich deal, but in general do you imagine that impacting your business at all?
Chris Wolfe: It's a good question. And the answer is, it's almost like thank goodness, we did this acquisition, right, because this acquisition actually sets us up just so because some people might not be aware of this. We actually have boots on the ground and operating units that are by the way, they're phenomenally talented, talented people, whether it's in customer service or sales like in Europe. So we don't have to send people to Europe to help the Jungheinrich out. The same with like for South America and Israel, they're fully functioning business units, they can kind of run autonomously. So that's actually what's great about my organization. And by the way the leadership team, which I mentioned earlier, like I said, it's probably the best. So it's like -- right now, they're concerned about their employees, they have contingency plans, we do have the inventory. And we feel very good that, we can withstand the storm. And when I tell my leadership team and my employees is, we, human beings are very resilient, it's like we'll get through this. We have to be smart, you have to do the basics, you have to follow CDC instructions. We don't travel as much as we did, but we don't need to, getting back to the question, we don't need to travel to get deals done.
Glenn Mattson: Okay. Great. Good luck for the rest of the year. Thanks.
Chris Wolfe: Okay. Thank you.
Operator: Thank you. I would now like to turn the call back over to Chris Wolfe for any further remarks.
Chris Wolfe: Thank you for joining us today. I'd like to thank our global employees, customers, partners, and obviously our shareholders for their continued support. I look forward to updating you on our next call. Operator?
Operator: Thank you for joining us today for our presentation. You may now disconnect.